Operator: Good morning. My name is Lindsey, and I will be your conference operator today. At this time I would like to welcome everyone to the FactSet Research Systems Inc. Third Quarter webcast. All lines have been placed on mute to prevent any background noise. After the speakers' remarks there will be a question-and-answer session. [Operator Instructions] Thank you. Ms. Rachel Stern, Senior Vice President, Strategic Resources and General Counsel, you may begin your conference.
Rachel Stern: Thank you, operator. Good morning, and thanks to all of you for participating today. Welcome to FactSet's third quarter 2016 earnings conference call. This conference call is being transcribed in real time by FactSet's CallStreet service and is being broadcast live via the Internet at factset.com. A replay of this call will also be available on our Web site. Our call will contain forward-looking statements reflecting management's expectations based on currently available information. Actual results may differ materially. More information about factors that could affect FactSet's business and financial results can be found in FactSet's filings with the SEC. Annual Subscription Value, or ASV, is a key metric for FactSet. Please recall that ASV is a snapshot view of client subscriptions, and represents our forward-looking revenues for the next 12 months. Lastly, FactSet undertakes no obligation to update publicly any forward-looking statements as a result of new information, future events, or otherwise. Joining me today are Phil Snow, Chief Executive Officer; Scott Miller, Director of Global Sales; and Maurizio Nicolelli, FactSet's Chief Financial Officer. And now I'd like to turn the discussion over to Phil.
Phil Snow: Thanks, Rachel, and good morning everyone, and welcome to today's call. At our core, FactSet is client-centric. We've always been, and that's why we've been able to grow our business so successfully year-after-year. We partner with our clients to help them work smarter and more efficiently. And as client needs have changed, we have evolved our business to meet those needs, and this has helped us to fuel growth even in a challenging market. This evolution has produced new growth drivers, which are evident in our Q3 results. We had another exceptionally solid quarter, this quarter, organic ASV grew 9.3% from the prior year, while EPS increased to 12.3%. And this is a testament to our broadening suite of premium products and the strength of our business and service model. This quarter, we saw particularly strong contribution from our Analytics, CTS, and Portware businesses. First, Analytics, we continue to see strong demand for our multi-asset class analytic suite, which include solutions for risk, performance attribution, return analytics, quants, publishing, and portfolio services. And driving this demand is the ongoing convergence in the market towards multi-asset class investment strategies as clients see yields in a low-rate environment. Layered on top of this is the need to control for risk from a growing number of regulatory requirements. Second, we saw robust growth in our CTS business. We are laser-focused on delivering value to our clients in the way they want to consume it. We have a great workstation business, and many of our clients want to leverage that same value that they get through the workstation in other ways, and we are committed to providing those solutions. The CTS suite includes a growing number of standardized data feeds that complements and merit the data in the FactSet workstation, and there is an increased awareness in the market now around our CTS capabilities and data solutions that power a growing number of workflows for the middle and front office. Third, we saw ongoing growth in our Portware business. Portware maintained its strong track record of growth, client volume increased, as did new client and broker connections. And overall, the integration continues to go really well. We are executing on the healthy pipeline from the close of the acquisition in October, and we are beginning to see the positive effects related to cross-selling opportunities. Also contributing to growth this quarter was our annual price increase for clients in the EMEA and APAC regions. This year that contributed $4.2 million in ASV. Let me say a few words about workstation. The market volatility that we've seen since the beginning of the year has had an effect on our overall workstation growth, workstation still grew, which is a testament to the strength of the product. And this quarter we really had a lot of great wins on the workstation side, but that was offset by a higher than usual number of cancels. And those of you that have covered FactSet for a long time understand our workstation business has gone through multiple volatile periods and is well positioned to continue to grow as volatility subsides. Overall, our buy-side business, which includes traditional asset management clients, hedge funds, wealth managers, CTS, and Portware accelerated to 9.6%, up over a 100 basis points from the prior year period. Our sell-side, which includes M&A advisory capital markets and equity research declined to 8.1% growth, and you can attribute the slowdown on the sell-side to it being more heavily leveraged to workstations and headcount trends. As you also saw this quarter, we are exiting from the Market Metrics and Matrix Solution businesses, and as part of executing on our strategic plans, we have decided to exit from our non-core market research business that was focused on advisor-sold investments and the insurance space. As such, in May, we entered into a definite agreement to sell Market Metrics and Matrix Solutions to Asset International, a portfolio company of Genstar Capital. This transaction is consistent with our long-term strategic direction and demonstrates our commitments to deliver significant value to our shareholders. Our capital allocation continues to be aggressive as we deploy capital in the form of new product developments, acquisitions, dividends, and share repurchases in order to maximize shareholder value. Over the last 12 months, we have returned 344 million to shareholders in the form of share repurchases and dividends, funded entirely by cash generated from operations. In conclusion, the third quarter adds to our continuing string of successful quarters. Over the years, regardless of the market cycle, FactSet's absolute and relative financial performance have been strong. At FactSet, we are well situated to serve a broad range of our clients' needs, given our ability to offer enterprise solutions across many user workflows backed with our industry-leading client service. Our future outlook remains optimistic, and our guidance for Q4 shows strong organic ASV growth, and similar to this quarter, EPS grew 300 basis points higher than ASP growth. Now, let me turn it over to Maurizio, who will give a more detailed look into our third quarter performance.
Maurizio Nicolelli: Thank you, Philip, and good morning to everyone on the call. As you heard from Phil, we continued to outperform relative to the market during an uncertain market period, which is a reflection of our position in the marketplace and also the health of our business. So now let's review our third quarter results. Revenues grew in the third quarter to $287.5 million. Excluding the revenues acquired from acquisitions completed within the last 12 months and the effects of foreign currency, organic revenues grew 9% over last year. During the just-completed third quarter, U.S. revenues grew to $193 million. Excluding revenue acquired from recent acquisitions, organic revenues in the U.S. were up 8.5% compared to the year ago third quarter. Non-U.S. revenues increased to $94 million. Revenues from our Europe and Asia-Pac regions were $70 million and $24 million respectively. Excluding foreign currency and acquired revenues from acquisitions completed in the past 12 months, the international growth rate was 10.1%. This growth rate breaks down into 8.1% from Europe and 16.8% from Asia-Pacific respectively. Included in our third quarter results were the following non-recurring items. First, operating expenses included $1.4 million in professional fees, primarily related to the sale of the Market Metrics and Matrix business. Secondly, income tax expense includes a $3.2 million benefit related to finalizing prior year's tax returns and other discrete tax items. Adjusted operating income, which excludes $1.4 million in non-recurring professional fees and $4.1 million in deal-related amortization, grew to $95 million, an increase of 8% from the third quarter last year. Adjusted net income, which excludes non-recurring items and deal-related amortization, grew 10% to $68 million, while adjusted diluted EPS grew 12% to $1.64. Now let's take a look at operating expenses. Total operating expenses for the third quarter were $198 million. Our adjusted operating margin, which excludes non-recurring items and deal-related amortization was 33% this quarter, down 10 basis points from the second quarter. Third quarter cost of services expressed as a percentage of revenues increased by 370 basis points compared to the year ago period. The increase was driven by higher compensation, including stock-based compensation and amortization of intangible assets. Employee compensation expense grew due to headcount expansion from new hires and the addition of Portware. The increase in amortization of intangible assets primarily relates to the acquisition of Portware less than 12 months ago. SG&A expenses expressed as a percentage of revenues decreased by 130 basis points in the third quarter compared to the year ago period due to lower compensation expense from employees performing SG&A roles partially offset by an increase in professional fees related to the sale of the Market Metrics and Matrix businesses. At the end of our third fiscal quarter, we had 8,100 employees. Excluding the employee added from the Portware acquisition, headcount has increased 14% during the past 12 months. The third quarter effective tax rate was 24.8%, down from 28.5% a year ago driven by the 3.2 million benefit from finalizing its previous years' tax returns and other discrete income tax items. Excluding discrete benefits in both years, our effective tax rate was 28.4%, down 170 basis points over last year. Free cash flow during the last three months was $89 million, a decrease of $10 million from the same period last year. The decrease was a result of higher client receivables, higher income tax payments, and an increase in capital expenditures driven by office expansions in New York, London, and Chicago. Our DSOs when excluding those receivables recorded as held-for-sale were 34 days at the end of the third quarter, compared to 33 days in the prior year period. Our cash and investments balance was $211 million, up $13 million during the quarter. We defined free cash flow as cash generated from operations less capital spending. During the third quarter, we repurchased 505,000 shares in the open market at an average price of $151 per share. Our diluted weighted average shares decreased by 347,000 shares as a result of our ongoing repurchase activity and a lower share price reducing the dilution from existing share-based compensation. Now, let's turn to our guidance for Q4 of fiscal 2016. Our guidance for the fourth quarter includes the results of the Market Metrics business for the full quarter. The transaction is expected to close in our fiscal fourth quarter of 2016. We will update guidance upon closing of the transaction. The Market Metrics business, which includes Matrix Solutions, had ASV of 37 million as of the end of the third quarter. The transaction is not expected to have a material impact to our fourth quarter of fiscal 2016 or our fiscal 2017 results, as we plan to use proceeds from the sale to repurchase shares under the existing share repurchase program. For our fiscal fourth quarter, we expect revenues will range between $292 million and $298 million. GAAP operating margins should range between 31% and 32%, while adjusted operating margin should range between 32.5% and 33.5%. We expect our annual effective tax rate to range between 28% and 29%. GAAP EPS is expected to range between $1.61 and $1.65, adjusted EPS is expected to range between $1.68 and $1.72. The midpoint of this range suggests a 13% year-over-year growth. In summary, we are proud to deliver solid ASV growth and double-digit EPS growth again. The mid-point of our guidance for the next quarter suggests this trend will continue. We continue to invest aggressively in our product, and people, as we believe, we are well-positioned to outperform the overall market today, and in the future. Thank you for joining our call this morning. We are now ready for your questions.
Operator: [Operator Instructions] Our first question comes from the line of Peter Heckmann from Avondale. Your line is now open.
Peter Heckmann: Good morning, everyone. Thanks for taking my question. Maurizio, on the ASV from the divested businesses, I believe you said $37 million combined for the two businesses. If that's correct, can you talk about the relative growth rate of ASV over the last year compared to the corporate average as well as margins compared to the corporate averages, so we can get a little bit finer point on what a post divestiture FactSet looks like?
Maurizio Nicolelli: So we don't break out information for our specific segments like that. I will tell you that, just in terms of its growth rate and also its margins, it's slightly below where the overall FactSet rate is today.
Peter Heckmann: Okay, great. That's helpful. And then, can you talk about -- are you seeing any impact or can you perceive any impact from the Department of Labor's fiduciary rule on the buy-side in terms of maybe their thought process of further pressure on fees, further move towards fee-based investments, and potentially passive investments that's reflecting on their thoughts about cost containment?
Phil Snow: Hi, Peter, it's Phil Snow. So I can talk a little bit about the shift to passive investment, it's certainly something that we all know is going on in the market. We continue to build capabilities to meet our clients' needs in this area. Our portfolio suite of products is very well-suited to analyze any type of asset, whether it's an active or a passive investment. We have invested in this space with ETF.com, which you saw that we purchased recently; and last quarter, that data was used by State Streets to launch the first FactSet branded ETF leveraging that data, the FactSet Innovative Technology Index. So, it's a trend that we're aware of. We know that our clients are under cost pressure just from a macro trend, and part of this is being driven by the shift from active to passive investments.
Peter Heckmann: That's helpful. I'll get back in the queue.
Operator: Our next question comes from the line of Joe Foresi from Cantor Fitzgerald. Your line is now open.
Joe Foresi: Hi, just kind of building on your prepared remarks, how would you describe the current environment for your product? And maybe you could talk a little bit about the areas where you are seeing obviously the biggest softness?
Phil Snow: Hey, Joe, it's Phil Snow. So, as I just highlighted a little bit on the previous question, we definitely see continued uncertainty in the market related to economic and political reasons. Clients run into some cost pressures, but we do believe this is that type of environment that FactSet is very well-suited to partner with our clients to sit down with them and help them through these times. We've done it a few times already. It's not new to us. And what I'd like to stress today is that it's important to understand that within our product suite, there's been an ongoing shift in the weight of our business, away from pure workstation to a broader suite of offerings. So workstation is still a hugely important piece of our business. It's the core of our business. We continue to reinvest in that aggressively, but the sophistication of the value-added applications and solutions outside of the workstation has been growing. So I think you should think of us as a solutions provider with workstation being one of those components. And if you break down the FactSet suite of products that's not directly tied to workstation, there are quite a few now. So within the analytic suite itself, we have risk and performance solutions that can be applied at the enterprise level, we have our portfolio services products which allows for reconciliation of portfolios and calculation of derived analytics, we have a great publishing business that we sell primarily to the buy-side, we have a whole research management solutions piece of our business now, which is a combination of the Code Red acquisition partners. So we have a lot of users on the buy-side and the sell-side that are research analysts or portfolio managers that are using FactSet, but it's not in the actual user count number that we are providing you, which is more of our core workstation. Of course, we have our CTS business, we have Portware, we have some very strong web offerings like StreetAccounts. So there is a growing suite of products that we offer to our clients, and we are beginning to be able to sell those at the enterprise level. So that's -- I think you did see the workstation and client count count come down, but we're able to partner with our clients for these larger enterprise solutions and sell them a lot more solutions than we were five or ten years ago.
Joe Foresi: Got it. Is there any way to get a sense of, either numerically or even quantitatively, how much of a pickup you say in the cancellation trends just so that we can compare it to client and user growth. I know it's not necessarily a number that you typically give.
Phil Snow: Sure.
Scott Miller: Joe, hi, it's Scott. I'd categorize it for you without getting into the detailed numbers. The pick-up was in what I think of as the non-controllable. It's firms merging, going out of business, and a user no longer there. We did see a pick-up in that part of the cancellations. The more controllable, where someone is actually moving away from us was sort of flat in terms of trend. So that was the notable, that the market headwinds hit, but we expected that. We've been clearly all watching the market headwinds collectively, and we knew that there was going to be more pressure in that space.
Joe Foresi: Got it. And the last one, quickly for me, just any kind of initial thoughts on Brexit, and the EU, and its impact on your business. Thanks.
Phil Snow: Hey, Joe, it's Phil Snow. So, for us, obviously it's adding to the uncertainty that's out there. But for us it's business as usual. We're going to continue to partner with our clients to help them through this period. The risk solutions that we have are very well-geared towards something like Brexit. And we also have this fantastic database called GeoRev, which allows you to really understand a firm's geographic exposure, not just where they're domiciled. And we've had a lot of inbound inquiries about that dataset. We've had them anyway, but there was a pick-up on that last week. And the weakening pound definitely doesn't hurt us because as you know, we bill in dollars in Europe, but we have an employee base there that, where the expenses are in pounds.
Joe Foresi: Got it. Thank you.
Operator: Our next question comes from the lines of Shlomo Rosenbaum from Stifel. Your line is now open.
Shlomo Rosenbaum: Thank you very much for taking my questions. Hey, Phil, you're just teasing us out there. You keep saying that you have much higher revenue that's not seat-count based, but you just won't give us the numbers that we're looking for in terms of what is it now, what was it five years ago so we get a better sense of that?
Phil Snow: Right. Yes, so I'm sorry for teasing you. But there's something that we haven't broken out. And, today, we're continuing to report the same numbers that we have. I will tell you, Shlomo, that you'll be pleased to hear that we have a new audio conferencing service. So hopefully you can hear the response to this question.
Shlomo Rosenbaum: So but maybe just help us qualitatively if not quantitatively, typically what I've seen in the past is that as seat count slows down you end up with higher revenue per seat, and it's really just an indicative of the seat count going down, and that usually portends an issue for FactSet's growth, either -- just a slowing of that growth. But it sounds like you're communicating is, is that we should not expect that to see that the same way this time because of the predominance -- or not predominance, but the preponderance of more of these non-seat-based products that you have?
Phil Snow: Yes. I think that's a great way to think about it. If you go back ten years, and you think about how we were billing our clients, we would have base fees, we would have various database fees, and then we would add on workstations. So, the trend that you saw would be natural as clients were cancelling workstations on the margin. But you're right, in that, today, that we have these broader offerings. So if we're selling a fee that's a six-figure deal that's obviously going to raise the pro workstation metric if you just simply divide ASV by workstations.
Shlomo Rosenbaum: So given the market environment and the growth rates in those other businesses, can you sustain that current -- the growth rate at current levels, given what you see in the market?
Phil Snow: Well, I think Maurizio's given some Q4 guidance that indicates that we're positive about what we see in Q4, and you'll get some updated numbers on that once the Market Metrics acquisition -- or divestiture is completed.
Shlomo Rosenbaum: All right. So then in terms of -- Maurizio, maybe I'll focus on you. So the high level implication, though, is that by taking Market Metrics out at a slower growth rate with a little bit lower margins is that we should get some addition by subtraction, right, because you should end up with a faster growing business with higher margins. In terms of the way to look at it, you're going to provide us like historical comps to look at it on a historical basis as well?
Maurizio Nicolelli: So, we'll have an 8-K filing that will have some pro forma information, and that will have that information in it.
Shlomo Rosenbaum: Okay. Before Rachel cuts me off, I'll ask one last one. Can you quantify the EPS benefit from pound depreciation that should be fairly significant for you guys?
Maurizio Nicolelli: So, our overall exposure on FX is about 182 million and that's what we had in our 10-Q at the end of Q2. Approximately a third of that is pounds, and we're already hedged on 50% of that. There is a benefit to us, but keep in mind, if we manage our margin to a very tight range, whether FX goes with us or against us. So the expectation that there's going to be a significant change to the operating margin, I would not be expecting that. There may be a slight uptick from there, but I would not be forecasting that going forward.
Shlomo Rosenbaum: Great. Thank you very much.
Operator: Our next question comes from the line of Andre Benjamin from Goldman Sachs. Your line is now open.
Andre Benjamin: Thanks, good morning.
Phil Snow: Andre.
Andre Benjamin: Similar to go on the back of Shlomo's last line of questions, with the number of users and clients slowing the last four quarters, but ASV growth holding up much better as the number of solutions sold has strengthened, do you have any color on how you're thinking about, even in the guidance that you have provided, how those trends should continue? Should user count continue to moderate because of the factors we've seen in the market? But does the number go up? Or I'm trying to get a sense of the moving pieces, at least as far as your guidance is concerned.
Scott Miller: Hi Andre, it's Scott. There's a natural reaction on user count based on market headwinds. We've seen it historically. You get sell-sides that in many cases are retrenching sort of back to their core businesses and that takes some regional parts of their businesses out altogether and you lose some workstations. But I'll reiterate Phil's comments, we have such a phenomenal toolkit of solutions now for our clients, and yes, workstation is very important and it's an important piece of our puzzle but it's just one piece. And what we see out there now is certainly with all the volatility that's going on and the uncertainty our clients are looking to us even more to help them be smarter about their jobs and solve their problems and it just opens up so many more opportunities for us. So we feel good about in general.
Andre Benjamin: I know you mentioned multi-asset class products, and any color, in the past we talked specifically about fixed income in private wealth including the last Analyst Day, any update on how material those have become since we last really dug into it then and how they've been growing?
Scott Miller: Probably the only one piece I'd add on to what we've talked about historically on the call, you know, multi-asset class is, is a really important piece for us and we're doing really well on that space. We have seen an uptick in just specifically the credit part of the market, we got some really neat solutions that originally we had devised for more of a multi-asset class approach that now on their own solve for the credit analyst very, very well and we've seen a pickup in that space.
Andre Benjamin: Okay.
Operator: Our next question comes from the line of Manav Patnaik from Barclays. Your line is now open.
Manav Patnaik: Yes, good morning thank you. So first question, can you just reminder us of, you know, the lag behind when you lose, whether it's truly off the mergers or whatever it is, like how long does that take based on your contract structure to actually hit the ASV numbers?
Scott Miller: Patnaik, this is Scott. It depends. We have some different contract terms that are out there depending on the client. I can tell you that what we saw this quarter or what we're seeing right now, we saw probably the bulk of what's in our vision this quarter and it's already hit we've seen it settle. So we're not projecting as much as the non-controllable cancellation coming through in the coming quarters. I don't know if that answers your question but it varies contract to contract but we feel that we saw the bulk of the headwind already hit us.
Manav Patnaik: Okay, and then maybe just some more color around the buy side pressures and maybe what you're seeing there, I mean, I guess you don't need to tell us about the sell side. But I guess we keep hearing a lot of fund closing and redemptions and those kinds of thing. So, how do you envision that dynamic on your workstation business with the buy side versus these other non-workstation risk solution type areas?
Scott Miller: It's Scott again, so I mentioned earlier that we did see more of the, what I consider the sort of non-controllable cancellations out there, the mergers and closures both hedge fund, buy side sell side obviously as well. It's not easy out there we know that AUM is under pressure, fees are under pressure, it's real. The reality is that the more the pressure comes on the more our clients are looking for solutions that help them with TCO, help them with performance, help them with better efficiency. And so we're actually having more conversations now around potential opportunities because our clients are under pressure and looking for more help. So it's really where we shine with our consultative support. So, yes, it's challenging out there but the number of opportunities that we are facing right now is very encouraging.
Manav Patnaik: Okay. And I guess to tie that with your prior response to my question, so all the funds that have closed or announced closures -- so far that used your business; you said that's already baked into your numbers correct?
Scott Miller: Yes, so typically again our contracts are somewhat different to some clients, but typically we have a 90-day cancellation clause, and so a lot of that was hitting in Q2 and so we saw the results of that in Q3. So the bulk of it, yes, I'm not saying there is no more cancellations coming, it's part of our business but the bulk of that uptick in that non-controllable portion we saw coming through towards end of Q2 and has hit in Q3.
Manav Patnaik: Okay, fair enough, all right. And then just the last one, I mean, you said you're seeing a lot more opportunities, because of the current environment, and I guess the problem we always have is that every other market data player says the same thing. So, I mean, I guess maybe if you could help us just characterize the wins, losses, is this business that will lead you from taking share from someone or is this just stuff that nobody has ever used and it's a new business for you guys?
Scott Miller: So, it's a bit of both. So, there is stuff that people have never used, it's some of our proprietary content that Phil talked about, our GeoRev and our Revere content for example, potentially moving from a in-house research management system to outsourcing to us. So, there is absolutely some new, but we are definitely picking up market share in many different areas. Our clients are doing more due diligence into their information technology, decision making, they're scrutinizing it even more on their side. There is disruption in the market out there in terms of certain offerings in the risk and analytics space and that opens the door for us as well. So, the number of conversations that we're having that are leading to opportunities are absolutely increasing.
Manav Patnaik: Right. Well, thanks a lot. I appreciate the color.
Operator: Our next question comes from the line of Alex Kramm from UBS. Your line is now open.
Alex Kramm: Yes. Hey, good morning, everyone. Just coming back to the Brexit questions earlier, just a quick one here; did BREXIT at all influence your Q4 guidance? Is anything factored in? I know it's early days obviously, but I noticed that your EPS range for example was, I think, $0.06, I'm sorry, 6 million for the revenue, it's usually a little bit higher than what we've seen in the past, so just talk about how, if you've factored in anything already.
Maurizio Nicolelli: Alex, it's Maurizio. No, we have not factored any uncertainty from Brexit in our guidance. Our guidance is fairly clean and it is, you're correct, it is a little bit of a wider range, it is just to give a little bit more variability to our guidance. Historically, our guidance of only 4 million on revenues was fairly tight compared to other public companies. So we made a conscious decision to just widen it. If you look at the midpoint of that revenue range, we're still growing revenues organically by 9%.
Alex Kramm: Fair enough. Great. Thank you for the color. And then secondly, I think the fourth quarter typically is a, one of your most important quarters in terms of sell side, buy side, hiring classes coming in, any color on what you're seeing or hearing out there in terms of how kind of like that seasonal hiring pattern is progressing that we should be thinking about?
Phil Snow: Alex, you'll know the hiring better than we will. So I should ask you the same question, but we're typically seeing obviously not a, no surprise, we are seeing some slowdown in grad hiring, we start to see that now. We start to ultimately take those orders now. So we're seeing a little bit of a slowdown there, but in general, you're right, fourth quarter is important, all of our quarters are important, but we see, again, we're feeling very good about our business, not only this quarter, but when we look mid to longer-term, we're feeling very, very good about the business.
Alex Kramm: Great. And then just one last one, on Portware, you mentioned you're seeing some early success on cross-selling, anything you can elaborate there, like, who are you selling more to, where are the wins coming from? Thank you.
Scott Miller: The wins, it's Scott; the wins are still in the fairly traditional places where Portware sells today. So it's in the buy side and have more volume and sophisticated trading requirements. So there hasn't been a dramatic shift in where the wins are coming. What's been really neat to see is our general sales force understanding the value proposition around Portware and FactSet integration and being able to position it well to that core client, but also outside of that core client, hedge funds, and different areas like that. So, we're really pleased with the integration from a sales perspective and obviously the integration from a product perspective is going very well. So we're really excited about it.
Alex Kramm: Excellent. Thanks. That's it from me.
Operator: Your next question comes from the line of Peter Appert from Piper Jaffray. Your line is now open.
Peter Appert: Thanks. Good morning. So, Phil, I'm wondering if the growth you're seeing in the feed business and some of the other non-workstation businesses has any implications for margins and. And then sort of related to that, whether you see a different level of price sensitivity for the feed business versus the workstation business?
Phil Snow: That's a great question, Peter. So in terms of margins, I think what we're faced with FactSet is more ideas than we know what can do. So if we do have higher margins on the feed business, we're going to take that and either reinvest it in more solutions for CTS or other pieces of our business. So I think you can continue to see kind of the same sort of consistency in our margin and as just continuing to reinvest in a business. The CTS suite has evolved. We have invested a lot in that over the last five to 10 years. It was primarily a custom business and it's just been an ongoing campaign really to take all of the content that we have on our system, make it standardize, put more analytics around it and then tie it all together in a way where it makes it really easy for clients to consume. We are working with a lot more outside partners now on solutions to get our data into different third party systems. So it's really doing great.
Peter Appert: I would imagine that the fee businesses, CTS business broadly would have to be stickier than traditional workstation business, right harder for barriers to exit for client hire. Is there any quantitative evidence to suggest that is true?
Phil Snow: I think your interaction is right there. Once you get a feed into a client, it ends up propagating into a lot of different systems. So it becomes difficult for clients to unravel it sometimes. So it does make it sticky. So we have a lot of momentum in this business. It's one of the fastest growing areas that we have and we're able to sell new solutions to the clients as well as in some cases replace existing solutions.
Peter Appert: And then I don't think I'm not sure Phil if you'd address this or not but I know this is sensitive topic but I'm just wondering it may be you have a little bit more pricing power for this business than you do in the workstation business?
Phil Snow: What do you mean by that exactly?
Peter Appert: If you have better ability to get pricing in the feed business when contracts come up for renewal then you do in a traditional workstation situation because they are potentially fewer alternatives for the client or more expense cost to change…
Phil Snow: Yes, there is a lot of good products out there outside of the workstation just like there are through the workstation. So I think it's a pretty similar exercise for us. It's really sitting down with the client understanding their workflow and partnering with them and showing them that we cannot just provide a great data and solutions to them, it's also providing good service around it. Just consider it in the feed space as well.
Peter Appert: Sure, understood. One last thing, Maurizio, yes I think you want us not to get too excited about currency as a source of upside to profitability and I'm just thinking that the moment in the Pound is so dramatic here, recently I'm not sure how you could spend the money quickly enough to offset that benefit. So any thought on that?
Maurizio Nicolelli: Peter I said, there may be enough, I just didn't say there would be a significant uptick. It's not the day we walk - it won't affect the margin if the pound stays where it is today. I just didn't say it was going to be significant that's all.
Peter Appert: Okay. And I'll get one last and then the Portware I think it's the same of the acquisition you would imply that maybe that was a - somewhat lower margin business and the existing FactSet business, it doesn't seem like it's dramatically moving the margin for you. Is Portware similar profitability to the existing business?
Phil Snow: It builds into an operating margin similar to the overall FactSet business. As we grow the business quarter-by-quarter, it's getting closer and closer to where we would like it to be as compared to the FactSet business.
Peter Appert: Got it. Thank you.
Phil Snow: Thanks, Peter.
Operator: Our next question comes from the line of Toni Kaplan from Morgan Stanley. Your line is now open.
Toni Kaplan: Hi, good morning. Can you give us any more color on through the overall portfolio strategy specifically with regard to selling Market Metrics? I know you purchased the business in 2010. So just wanted to see if there is sort of any change in strategic priorities since then or was there just something about the business that maybe didn't meet the initial expectations?
Phil Snow: Hi Toni, it's Phil Snow. So when we acquired Market Metrics and Matrix great standalone businesses, we thought at the time there was potential to integrate it with the rest of the FactSet offering or suite. That just didn't happen overtime. So when we do acquisitions, I think we typically like to go through a one-plus-one equals more than two exercise and we are really on the buy side we are focused on making sure that we're filling in all the pieces of the investment lifecycle for our clients for that trade and building community between the buy side and the sell side with our research solutions. So that's really our primary focus on just that Market Metrics didn't really fit cleanly into that strategy.
Toni Kaplan: Okay, great. And then are there certain areas of M&A that would be very attractive to you right now meaning any sort of capabilities that you would like to look at adding to the existing products at?
Phil Snow: So we think our M&A strategy isn't going to differ too much from how it has historically. So if you look back at what we've done, we are typically looking for good workflow solutions that speak to the sort of the strategy that I just spoke about, as well as unique contents that we can leverage both through the workstation and through the feed business. So the acquisitions that we did of Revere and ETF have been exceptionally helpful to FactSet. We can continue to look out in the market for more opportunities like that.
Toni Kaplan: Thanks a lot.
Phil Snow: Thank you.
Operator: Your next question comes from the line of Keith Housum from Northcoast Research. Your line is now open.
Keith Housum: Good morning, guys. Well, my questions have been asked; I guess the last one I have here is looking at the Portware business, you guys have been very complimentary in terms of how it has contributed to the business going forward, but if I look at it, it looks like it's been about $10 million of revenue a quarter for you guys. Is there a delay between when you guys will actually get a limit when you starting recognizing the revenue? I'm just trying to understand the growth trajectory of how it's growing in your watch so far.
Maurizio Nicolelli: Actually we don't give guidance on -- information on what it's done historically. A $10 million difference is really the 41 million that we bought at acquisition back in September. That would be opening ASV number was 41 million. And that's what you see on the quarterly basis of 10 million. It's done well for us, but we just don't break out the growth for that one area.
Keith Housum: Got you. Okay, I appreciate that. And just recently the Market Metrics sale again, is there any parts of your business or are you guys doing a broader analysis in terms of non-core assets and what you might have available for sale?
Phil Snow: Hi, it's Phil Snow. So, no, we are not doing a broader analysis. We are happy with all of the assets that we have, and we are just going to continue with executing our strategy.
Keith Housum: Great, thank you.
Phil Snow: Thanks.
Operator: Our next question comes from the line of David Chu from Bank of America. Your line is now open.
David Chu: Hey, good morning. In terms of the macro picture, I mean, how would you describe client budgets? Are you seeing a significant drop to the budgets?
Phil Snow: I'd just say -- it's Phil Snow, just generally does then a lot of cost pressures. This is nothing new. This is thing we've known for years and years and years. And we've been continuing to execute in that environment. So I wouldn't say that it's any worse than it has been, and as both Scott and I have pointed out, as cost pressures come down on clients, regulatory fee pressure, it really opens the opportunity for us to sit down with the clients, have them lay out all of the different services that they get from other providers, and gives us an opportunity to help them, and because we are a trusted partner for our clients. We have been through this two or three times and each time it happens, we have more and more stepped off for them in these types of environments.
David Chu: Okay. And then, last quarter it sounded like there were some impact on upselling to the existing clients, but that new business wins were been relatively healthy. How would you describe this quarter?
Scott Miller: The new business was off a little bit from our expectations, again, not surprising, just with decision-making slowing a little bit with what's going on in the market. And what I think of is as the organic growth within our current client base, the growth side of that was very healthy.
David Chu: Okay. And then lastly, in terms of uncontrollables, what specifically are you referring to, I mean, it sounds like, maybe there is some merger M&A type activity, but what else?
Phil Snow: When a firm shuts down, when a user has to leave a firm, ultimately when there is no longer someone there to use our service.
David Chu: Okay, got it. Thank you.
Operator: Our next question comes from the line of Bill Warmington from Wells Fargo. Your line is now open.
Bill Warmington: Good morning, everyone. So, a couple of questions; the first on the Market Metrics, 165 million in proceeds, is that a net proceed number, net of taxes or do we have a cost basis to worry about?
Maurizio Nicolelli: No, that's the growth sale purchase price.
Bill Warmington: Could we get a sense for what the net is you're going to use for the buyback?
Maurizio Nicolelli: So we've increased the buyback by 165 million. We haven't broken out what exactly that net number is, obviously, it's just not a net number.
Bill Warmington: Okay. The other question I have is, we're hearing from some of the buy siders that Bloomberg has aggressively been going after the research management solutions space, specifically the Code Red clients and they've been now offering this RMS system as part of the Bloomberg subscription at no incremental cost, and so I wanted to ask whether that has had any impact on the client base, whether you've lost any clients, and if so, if it's brought about any change in terms of how you go to market with that product?
Scott Miller: Hey, Bill. It's Scott. They've had that solution for long time baked into the terminal. We feel really good about our research management solutions in general, both buy side and sell side. It's been a very strategic part of our overall workflow strategy with our acquisition of Code Red and our own IRN and RMS solutions now are working very well together. We feel really good about our capabilities in the space and we're actually leading in some of the regulatory areas with our solutions to solve some of the Reg problems in this space as well. So we feel great about our RMS business.
Phil Snow: Bill, I'll add on to that. It's Phil Snow that I believe this was the strongest quarter we've had from a Code Red standpoint, since the acquisition, it was a really strong quarter for us in the RMS space.
Bill Warmington: Got it. All right, well, thank you very much.
Phil Snow: All right. Thank you all for participating today and we hope to see a lot of you on Thursday of this week at Investor Day.
Operator: This concludes today's conference call. You may now disconnect.